Operator: Good morning. Welcome to GameStop Corporation’s Q3 2010 earnings conference call. Today’s call is being recorded. At the conclusion of the announcement a question-and-answer session will be conducted electronically. (Operator Instructions) I would like to remind you this call is covered by the Safe Harbor disclosure contained in GameStop’s public documents and is the property of GameStop. It is not for rebroadcast or use by any other party without prior written consent of GameStop. At this time I would like to turn the call over to Mr. Dan Dematteo of GameStop Corporation. Please go ahead, sir.
Dan DeMatteo: Good morning. And thank you for attending today’s conference call. With me today are Paul Raines our CEO, Tony Bartel, our President, Rob Lloyd, our EVP and CFO and Mike Mauler, our EVP of International. This morning we announced we met the high end of our Q3 EPS range and raised our full year guidance due to continued market share gains, product and product releases that are exceeding expectations. In the quarter, we rolled out several new initiatives that are performing extremely well. Our new loyalty program, PowerUp rewards has been accepted beyond our expectations by the consumer and Paul will speak more on this initiative later. GameStop now has the ability to sell add-on digital content in all U.S. stores, making us the first retailer to have the technology and marketing to sell DLC from retail doors. Our recently retooled GameStop.com commerce site is driving huge sales increases and allows the customer now to buy on-line and pick up in-store and Tony will provide more color on this. We have added E-commerce sites in Spain, Germany and Ireland during the quarter and we are now driving traffic to congregate our on-line game platform from our e-commerce site and retail stores. Tony will discuss plans for this business in his discussion. So, 2010 has been a great year for making huge strides on our strategic initiatives, but we are not done yet. We are planning on taking these all to new levels in 2011 to drive in-store E-commerce and digital revenues. Also, we understand the evolving nature of gaming and are identifying opportunities to expand the GameStop brand wherever gamers are playing as we have proven that there’s a huge base of customers that shop at our stores and play games digitally such as on Kongregate. We remain focused on continuous growth in our return on invested capital through prudent store growth, strategic initiatives to grow market share, aligned investments in the digital space and cash returns to shareholders. With that, I will turn it over to Paul for his comments on the quarter and the outlook for the balance of the year.
Paul Raines: Thanks, Dan. I would like to start off my remarks by thanking our team of over 50,000 associates worldwide. GameStop associates around the world continued to wring power to the players by providing the best customer service, value and assortment in video gaming. We saw strength in the core business this quarter driven by new software titles and record market share. New software grew 9% as new game players reacted well to our unique launch process and buy/sell/trade value proposition. We were pleased to have the first global launch of unique content with Halo Reach as GameStop stores around the world offered consumers unique body armor to drive market share at launch. Hardware sales declined 14% due to price cuts and international weakness in hardware. We were also pleased to see positive comps again in our U.S. business. The used business, which is overlapping 19% growth in the third quarter of 2009, grew 4%. Next-generation used software continues to grow, while older generation continues to decline. As we have seen in the past, consumers are spending on new titles at launch with some impact being felt in used software. Our same-store used inventory levels are in excellent shape going into the peak holiday season. As we have pointed out in the past, we build inventory aggressively during this time of the year to drive higher sell-through at holiday and our average inventory levels are well above last year in the used business. We are also following closely competitor initiatives in the used business and execute weekly analysis of used sales in stores within competitor trade areas. That analysis indicates no impacts from competitors to our used sales. As we told you the on our last call, we chose to accelerate the rollout of our PowerUp rewards program into the third quarter and have now completed that rollout in the United States. Millions of game consumers are now enjoying the unique benefits of the program and we are building relationships with them that will drive share of wallet through holiday. A few color items on PowerUp rewards. Members are shopping with us three times as often as non-members and they are above-average customers on both trading games as well as multi-channel shopping. Members are also activating their membership by building their game libraries on-line and we now have over 20 million games in those libraries, allowing us to market and recommend to those customers in unique ways. PowerUp rewards is a key part of our holiday strategy and you will see us leverage the program to communicate in a stealthy and personal way with our most valuable customers and also support our publisher’s launches. We are pleased with the progress we are making in executing the multi-channel strategy we have developed. Transactions including a digital SKU grew to 9.9% during the third quarter. We watched this metric closely as it gives us view to the chronology of digital adoption and are seeing more and more consumers buy both digital and physical products in our stores and on our sites. Unlike any other player in gaming, GameStop is uniquely positioned to understand consumer needs and offer them the right game any time and on any platform. Tony will give more color on digital sales in stores, on our websites and on our digital gaming platform in his remarks. In terms of our outlook for the fourth quarter, we are seeing strong consumer reaction to the title slate and motion accessories. Strong titles plus Sony Move, Microsoft Kinect and Nintendo are a strong offering for holiday shoppers. We are staffing up for traffic growth as customers come out to get the right gaming gifts and we are offering a guaranteed in-stock promise on the hottest video games including Call of Duty Black Ops. Lastly, the benefits of PowerUp rewards are giving gaming consumers one more great reason to shop at GameStop stores and websites. I will now pass the call over to Rob.
Rob Lloyd: Thank you, Paul. Good morning, everyone. I would like to start off my remarks today by reviewing our capital allocation program and providing some commentary on the balance sheet. As we discussed on our last earnings call, we have established a capital allocation program which reflects our focus on return on invested capital. We believe the business will continue to produce adequate cash flow from operations over the next four to five years to fund our prudent store expansion aimed at market share growth, our strategic digital investments and acquisitions, debt maturities and share repurchases. In the third quarter we announced the new share and debt repurchase program of $500 million. Since then we called $200 million of debt on October 29th and repurchased and retired 2.6 million shares of common stock at an average cost of $18.91 per share using just over $49 million of our current $300 million share repurchase plan. After the debt and stock buyback, GameStop closed the quarter with $181 million in cash. Total company inventory levels increased to 8.3% on a per-store basis year-over-year. The increase is related to having to Kinect and Call of Duty Black Ops inventory in stock ahead of their respective launches and increases in used inventory. Inventory turns have remained comparable and accounts payable leverage percentages increased from 76.6% to 78%. Now, I will view the financial results for third quarter. Total sales increased 3.5% to $1.9 billion driven by new software sales growth of 9% on the strength of new title launches such as Halo Reach, Fallout New Vegas and Medal of Honor. Building on strong U.S. market share gains in the first and second quarters, GameStop continues to take share in the new video game software category. Our year-to-date share gain in new software now stands at 580 basis points. U.S. comps were positive for the third quarter in a row coming in at 5.3%. International comps were lower than planned due to weakness in hardware sales resulting in total comparable stores sales of 1.1% lower than our guidance of plus 3% to plus 6%. Internationally, as we discussed in August, significant economic recovery in the countries in which we operate has not materialized, so we continue to have modest full year growth estimates. Despite this, we expect total company comps to be positive for the remainder of the fiscal year based on a strong lineup of software titles and consumer excitement for Sony Move and Microsoft Kinect. As Paul mentioned the used category grew 4% during the quarter, which showed improvement from Q2, but less than we had forecast. Paul also talked about how our used inventory position sets us up for growth in the fourth quarter. We project that the used products category will increase between 8% and 12% in the fourth quarter bringing full year growth in at 4% to 6%. Consolidated gross margins improved by 30 basis points to 28.8% from 28.5% in the prior year quarter, as we experienced a shift in sales from lower margin hardware to new software and accessories. Used margins were slightly better than last year and increased 140 basis points over the second quarter. Continued rollouts of best practices have led to improvements in international used gross margins. SG&A expenses increased as a percentage of sales versus the prior year quarter from 21.3% to 21.5% and were essentially flat on a per-store basis. This is slightly less than our anticipated increase of 30 to 40 basis points for the full year as we invest in strategic initiatives. The effective tax rate for the third quarter was 29.6% compared to 32.5% in the third quarter of 2009 with the decrease due to accounting for uncertain tax positions. Net earnings were 54.7 million and excluding debt retirement costs diluted earnings per share for the quarter were $0.38 exceeding analyst consensus estimates showing 19% growth over last year. Based on the strength in our new software business demand for Microsoft Kinect and Sony Move and the effect of capital allocation plans, we are raising our fourth quarter and full-year 2010 guidance. In our second quarter earnings release we added $0.03 per share to our fourth quarter guidance for the effect of our initiatives and Kinect. We are now raising that implied guidance range of $1.49 to $1.56 to a range of $1.53 to $1.59. Diluted earnings per share for the full year have been raised from previously released guidance of $2.58 to $2.68 up to a range of $2.63 to $2.69. Now I will turn it over to Tony for his comments.
Tony Bartel: Thanks, Rob. During the quarter we continued to evolve our digital efforts both in our stores and on our website. In our stores, we expanded our game notable content efforts by beginning the rollout of Sony downloadable content to all stores, an effort that will be complete in the next three weeks. We also began a first ever pre-ordering campaign for Halo Reach and Noble Map Pack that allows a customer to pre-order downloadable content and have the code delivered to them electronically as soon as the content is available. We are launching the Halo Reach and Noble Map Pack as a major release with a full media campaign focused on pre-ordering with a GameStop exclusive Flaming Mark V Spartan helmet for Xbox live avatars. The TV advertising started today and we are already pleased with the preorders that we are receiving. As we said previously, there’s a lot of great content that developers have created to enhance console game play and we are working with the publisher community to better market these downloadable content launches. Now that we are able to offer digital content on the day of launch, Halo Reach Noble Map Pack represents our initial entree into a program of pre-selling and digitally releasing downloadable content on both the Microsoft and Sony platforms. As Paul mentioned earlier, we are seeing a 9.9% attach rate of digital content to our transactions and half of the customers who purchased downloadable content are purchasing it with a game, so we see that the release of this content is actually driving game purchases. During Q3, we also made significant changes to our website including implementing pick-up at score, streamlining our checkout process, making our product pages more shoppable, integrating with our PowerUp rewards program, adding the sale of downloadable content on-line and expanding our capacity to handle the expected Q4 demand. We continue to be the fastest growing website in the gaming space as we became the number two largest on-line game retailer behind Amazon. We more than doubled our sales in Q3 and are poised to have the best Q4 on dot com in our history. Our digital gaming platform Kongregate continues to thrill online gamers and attract new game developers. As expected we saw 45% year-over-year growth in traffic in Q3 and are finalizing our plans to integrate PowerUp rewards into the Kongregate experience in Q4. Micro transactions now account for more than one-half of all revenue on Kongregate and continue to grow as a percentage of revenue generation. Kongregate provides with us a robust gaming platform that can reach beyond the PC and on to phones, tablets and even into the connected living room. And our roadmap for 2011 includes plans to pursue these areas of growth. Those of you with an Android phone can already enjoy many of Kongregate’s great games by accessing the website directly from your flash-enabled phone. With that I will turn it over to the moderator for questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Matthew Fassler from Goldman Sachs.
Mark Andre – Goldman Sachs: Hi, this is actually Mark Andre filling in for Matt. How are you?
Dan DeMatteo: Well, thank you.
Mark Andre – Goldman Sachs: Good. First I wanted to ask about Kinect, if you could give an early read on what you are seeing and also what do you think the estimated share for GameStop would be relative to your typical share of hardware in the industry and, then I have a follow-up.
Dan DeMatteo: I’ll pass that on to Tony.
Tony Bartel: We’ve been very pleased with our Kinect. We don’t give out share information on specific titles, I am not going to give share on that title, but we’ve been very pleased with our Kinect sales. And the biggest opportunity that we have is just keeping them in stock. This will be a hot item throughout the holiday season and that the key opportunity will be just to continue to keep them in stocks. So, whenever consumers do see Kinect and they want Kinect for the holiday season they should pick it up because it will be in short supply in the holiday.
Mark Andre – Goldman Sachs: Okay. Thank you. And then as a follow-up, on the international performance, could you talk to the differences between the different countries? I know we are going to get some more color when Q comes out, but differences by country and the drivers and what the outlook is?
Dan DeMatteo: Mike, would you that that?
Mike Mauler: Sure, I could add some color to that. In most countries the rebound from the recession had been slower than in the U.S. This resulted in lower same-store sales in Q3 which was driven primarily by major decline in hardware, especially hand-helds. However, internationally we did see growth in new and used software sales and market share. So actually this change in mix, as well as improvement in our used margins resulted in higher overall margin internationally versus prior year. So in Q3 internationally we drove a 6% earnings increase versus prior year due to those margin increases as well as aggressive cost control and a number of new initiatives that we rolled out, including e-commerce in three new markets, Spain, Ireland and Germany. We also continued the rollout of our proprietary used pricing model which was one of the drivers of the used margin increases. And we expanded refurbishment capabilities internationally. So looking forward, Q4 has a real strong slate of new releases and we anticipate positive comps in the quarter. Let me also touch on future new store growth. For new store growth we’re very focused, as was mentioned earlier, on ROIC and so in mature markets like Canada or Australia, we’ll see slowing store growth, but will be much more judicious in our site selection. However, there are still strong growth opportunities in other markets such as Italy and Germany. Finally, we continue to expand to game – continue to expect to gain market share through strategic initiatives, many of which are the ones that Tony mentioned, such as the ongoing expansion of our E-commerce capabilities and new market, DLC worldwide rollout and finally the international rollout of the PowerUps reward royalty program so that customers in all countries can really see the benefit that the customers are seeing in the U.S. and France currently with their loyalty programs.
Mark Andre – Goldman Sachs: Got it. Very helpful. Thank you.
Operator: Our next question comes from the line of Brian Nagle from Oppenheimer.
Brian Nagle – Oppenheimer: Hi. Good morning. A couple questions, if I could. First off and I want to ask about Microsoft Kinect as well and really this and the Sony new technology, but if you look at initial sales, couple of questions there would be, first off, do you think this is bringing a new customer to your stores, or is it customer consistent with the traffic that’s already in the stores? And how do software attachment rates so far on these new hardware technologies compare with some of the prior hardware launches of last few years?
Dan DeMatteo: Tony, you want to take that?
Tony Bartel: Sure. We definitely do see new customers coming into our store and it is selling hardware as well, as you can see and then with the numbers with Xbox 360, an increase in October’s NPD numbers. In terms of attaches, there’s a very high attach rate. In fact when you look at the top attaching games, in Kinect’s case where it is Kinect Sports as well as Dance Central, those are definitely the expanded audience type of games and those are attaching extremely well. So, we are not only excited with the sale of Kinect and with Move, both of which are going to be in short supply during the holiday season, but we like the fact that they are bringing expanded audience to games that are going out with both of those are attaching well and are expanding on these games.
Mike Mauler: Brian, one of the things you see customers do is you will hear customers tell you they’re bringing the Xbox down from the son’s room to the family room, so they can use it as a family which is a great indication of what’s happening.
Brian Nagle – Oppenheimer: And maybe just one follow-up, obviously a lot of chatter already on the upcoming Black Friday and holiday selling season, would you guys characterize some of the advertisement you’ve seen so far in the marketplace?
Dan DeMatteo: Paul, do you want to take that?
Paul Raines: Sure. This time of year everyone jumps into the gaming category. We know that’s going to happen every year. I think that things have evolved as we expected. You will see us react in some familiar ways and as well as some new ways. We’re going to continue to offer the broadest assortment, the best value with buy/sell/trade. You will see us use in that unique ways. We are going to be driving a guaranteed in-stock message to consumer. Our consumer work tells us the most important thing is to be able to find that hot title for the Christmas present and lastly we’ll see competitors come out with different kinds of promotions. We now have PowerUp rewards available to us as a promotional tool and that’s one of the reasons you heard us accelerate the rollout into the third quarter because we wanted to have those millions of personal relationships with our heaviest buyers ahead of holiday. So, we think it will be similar to what we see every year in terms of the key players coming in, but we’ve also got some new ways to approach that.
Brian Nagle – Oppenheimer: Thanks and best of luck for the upcoming holiday season. Thanks.
Paul Raines: Fine. Thank you.
Operator: Our next question comes from the line of Mike Hickey from Janco Partners.
Mike Hickey – Janco Partners: Hey guys. Good job on the quarter. Thanks for taking my questions. When you guys consider your 2% to 4% same-store sales guidance for your holiday quarter, what would you view as your opportunities versus risk?
Dan DeMatteo: Rob, do you want to answer that?
Rob Lloyd: Sure. Obviously the opportunities are around the Kinect and the Move and the titles that have launched. Clearly, I think what you have seen so far this year is that the hardware sales and the used sales have not been where we had forecasted earlier in the year and so those would be the obvious things that you would point to.
Mike Hickey – Janco Partners: Okay. And then a follow-up, if I could. On Kinect, Dan, I was curious how you see this market taking shape, perhaps relative to the Wii market growth?
Dan DeMatteo: I think Tony might be best to answer that.
Tony Bartel: And you are talking about, Mike, just to clarify your question, you are talking about how that growth compares to what we saw at the launch of the Wii?
Mike Hickey – Janco Partners: Yeah.
Tony Bartel: I see a very strong marketplace for this and I see the fervor that is beginning during the holiday season for the Kinect and Move is it’s very, very strong. I see that – as we have the Wii phenomenon we had customers following UPS truck to our store. I think you are going to have the exact same thing with new controllers and with the Kinect Bundle that goes out. I think you are going to have consumers following the UPS, UPS truck to our stores to pick up that product as soon as they can find it.
Mike Hickey – Janco Partners: Okay. Thanks, guys.
Operator: Our next question comes from the line of Tony Wible from Janney.
Tony Wible – Janney: Hi. Just a couple of quick questions. The in-stock guarantee that you guys have, will that be applying to Kinect and then also, if you guys could talk a little bit about the seasonality for the Game Calendar in 2011? And, any titles out there that seems would break that traditional seasonal pattern?
Dan DeMatteo: Paul, you want to take first part?
Paul Raines: Hello, Tony. No, in the-stock guarantee does not apply on Kinect. That's one, we’ve got. As Tony said, we've got huge expectations around that product and we're just trying to get as much of it as we can in. But we have got the in-stock guarantee on most of the hot titles, if not all of them, you will see that in our promotional materials. And the idea is we want consumers to know that GameStop is the best place to go for their shopping needs. And if we don't happen to have, which we – we, very unlikely we won't, we will ship it to you free and find a way to get it to you from a website et cetera. So, I'll let Tony maybe talk about that seasonality. Dan, you want to talk about that?
Dan DeMatteo: I'll take that. On next year's visibility, I think that was your question. We have limited visibility at this point in time on next year. But I do believe that we can have growth in the packaged goods category next year. First, we'll be comping obviously a weak year. Secondly, we will have the new handheld system with the Nintendo 3DS. Our third, hopefully, we get expanded audience back into the gaming category which seems to have left this year with the Move and with the Kinect. So I think that there's a good possibility, without knowing all the titles next year, I think the industry is being well positioned to have a growth year in 2011 over 2010.
Tony Wible – Janney: Do you think we'll see a new PSP next year?
Dan DeMatteo: I don't have much visibility on that, no. I do not. Nothing, I could comment.
Paul Raines: 3D could be interesting as well, Tony.
Tony Wible – Janney: Okay. I’m sorry for the last question, but you guys have been paying down debt and equity. In closing, just hoping you guys could explain a little bit about how you think about the allocation, either paying down one versus the other.
Dan DeMatteo: Rob?
Rob Lloyd: Yeah. I think, Tony, a part of the reason we did that – that we did was, as we look ahead to the maturity of that debt, October of 2012 and we look to the potential renewal of our credit facility checks which expires in April of 2012. And we felt that we would be able to renew the credit facility on better terms if we had a lighter debt load than the $450 million that was there. Going forward, we'll make any decisions between debt retirement and stock buyback based upon what we see as the – that we’ll put any needs of the company and the overall capital structure that we desire to have. And lastly, whatever affect it might have on ROIC.
Tony Wible – Janney: Great. Thank you.
Operator: Our next question comes from the line of Colin Sebastian from Lazard.
Colin Sebastian – Lazard: Thanks for taking my questions. I guess, first of, following up on the used segment. I was maybe hoping for some clarity on the margin expectation there, looking into Q4 and if – perhaps, you do expect some of the big box competition to add some pricing pressure there. And then secondly, on the digital initiatives, which appear to be gaining traction now on a couple of fronts. I wonder if it's possible to quantify the contribution at all from digital, including e-commerce, just, so we can start to gauge the pace of progression there. Thanks.
Dan DeMatteo: Paul, you want to take first part?
Paul Raines: Yeah, sure. Hi, Colin. Certainly in terms of used in the fourth quarter as we mentioned, we grew 4% and have seen some acceleration from the second quarter. We're very focused on our inventory levels and getting our inventory levels up to where we want to be going into holiday. As we've said before on this call we have a lot of history and we know how well the ramp runs and want to make sure we're ready. So we feel good about that. In terms of margin expectations, 46 to 49% is what we've quoted as our margin expectation and that's consistent. We've not experienced impacts from competitors. We know that there's – we've had lots of discussions with lots of people on that and we're very focused on running our play which, as you know has very significant hurdles for our competitors around pricing, balance, refurbishment, pawnshop legislation. So buy, sell, trade will again be our primary value driver for the consumer holiday and we don’t see any reason to change that expectation.
Tony Bartel: Colin, in terms of the digital quantification, we understand the need to quantify that and begin to articulate that. We aren't prepared to do that at this time, but we are discussing, internally how we will quantify that for you and we will have more to talk about on our next release.
Paul Raines: Part of this, Colin is understanding, what the hybrid behavior is of the consumer. As Tony mentioned, we're seeing consumers, what's happening at GameStop now, people who have never bought DLC, moms, dads, grandparents are getting introduced to digital content. People who have never seen what a free-to-play gaming platform looks like are getting introduced to it. So we’re changing the consumer behavior and part of our mission I think is to understand that behavior and how we report it, measured et cetera.
Tony Bartel: And what we are seeing as a multi-channel consumer is a larger consumer of gaming overall. So we're seeing that trend as well.
Colin Sebastian – Lazard: Okay. Great. Thanks, guys.
Dan DeMatteo: Thank you.
Operator: Our next question comes from the line of Gary Balter from Credit Suisse.
Gary Balter – Credit Suisse: Hi. A few questions. One is, as we look at the Christmas season, you mentioned in the past that map isn't on the Wii and I guess anything made by Nintendo on it, what do you see the impact of that and self discipline, disclosing your promotional strategies. Does that leave more opportunity to be selective with some of the promotions?
Paul Raines: Hey, Gary. I think a couple of things. If you look at last year, what happened in the promotional environment, we actually gained share and held serve on a lot of the action titles that were promoted and marked down in the channel, which tells you that our ability to provide value and service and assortment in store is worth a certain amount of value to the consumer. If you look at marked-down hardware, we know that that's one where the big boxes can have a pretty big impact. If you talk about map not being applied, we are expecting all kinds of promotions around that and are planning for it and have a healthy allocation of product going into holiday and we'll run our play accordingly. And, in terms of value, it's important to remember, buy, sell, trade is all our consumer work tells us buy, sell, trade is the highest value proposition, even more than discounts, because we can bring trade credits to consumers over a billion dollars of trade credits. So we'll be using that to deal with whatever happens in promotional area.
Gary Balter – Credit Suisse: Could you, on that and kind of a tie-in for the second question, the power up rewards which you talked about early on the call. How sticky do you sense that that's making some of your customers, because that's a great tool, that's not matched by some of your competitors?
Paul Raines: You're exactly right, Gary. The behavior of PowerUp has surprised us. If you remember, our 2Q call, we were kind of surprised by what our pilot market showed us when we started in May and we chose to accelerate. One of the reasons is we're seeing consumers far stickier than we thought would they be. We're not ready to talk about all of that for competitive reasons, but when we say that people are shopping us at three times the frequency, we're really seeing a subset shop us even far more than that. So we're seeing consumers in what is a price parity category, right, because the category is generally all the same price, giving consumers one more reason to turn left into GameStop instead of right into a big box, has turned out to be a very powerful thing. The other thing that’s happening, Gary, is our ability to communicate with consumers based on their game library has become a very powerful effort. We're seeing a lot of productivity from those unique recommendations we’re making in those unique messages. In fact Tony talked about our DLC launch. That's available only to PowerUp Rewards members because we're going to communicate to them through our encrypted site at poweruprewards.com. So, lots of interesting sticky opportunities for that consumer.
Tony Bartel: Gary, another source of stickiness through PowerUp Rewards, as we use that to market our consumers and send them to kongregate.com, we find that those consumers that come from PowerUp Rewards register at a much higher rate on kongregate.com than any other customers coming, so we also see stickiness on our expanded areas of growth, not just in our stores.
Gary Balter – Credit Suisse: And if I buy the Kinect and I’ll start using up my PowerUp Rewards to go with that. Just last question, you talked – you mentioned, again, the return on invested capital. Could you quantify kind of how we should think about that, like what the buyback will be going forward and – because you've generated so much cash each year. And the other drivers, like how much of that, do you think will come from just repurchasing stock and how much will come from other drivers, just operationally?
Rob Lloyd: Gary, I'm not sure that we're in a position to breakdown how much of that 400 basis point improvement that we've talked about will come from buyback versus other initiatives, but rest assured that within our plan, that sort of controlled growth that we've talked about in our store base where we can get market share and achieve desired returns, as well as the initiative that we are investing in royalty and digital and e-commerce, will drive ROIC and then obviously debt and stock repurchase can drive ROIC.
Gary Balter – Credit Suisse: Okay. Thank you.
Operator: Our next question comes from the line of Arvind Batia from Sterne Agee.
Arvind Bhatia – Sterne Agee: Thank you. Just actually a couple of housekeeping questions. First on new store openings, what they were this quarter? Just to get a net number. And then you talked about recently, next year you plan to have – or go-forward, you want to have 2% to 3% net store growth. Can you tell us 2011 what you're thinking gross store openings? And then second quick one is what was the stock comp – compensation expense in the third quarter? And what is the full-year share count that you are expecting?
Dan DeMatteo: Rob?
Rob Lloyd: Let me start with the latter couple of questions. The stock compensation expense in the third quarter was approximately $10.6 million and we expect the full-year share count to be approximately $153 to $154 million. And then your questions were on the number of openings and we obviously – we disclosed in the release what the net openings were. Year-to-date so far, we've had 238 openings and 82 closings. In the quarter, we opened 78 stores and closed 21. Our expectations for next year are between 300 and 400 store openings and between 100 and 200 store closings.
Arvind Bhatia – Sterne Agee: Again, just a quick one on used margins. This quarter being strong, I think part of that, you said was international. What was the trend in used margins within the domestic numbers? Did that number also go up?
Rob Lloyd: We're not disclosing what the margins were domestically versus internationally on a specific basis. I think directionally with the international guidance we gave, we're trying to convey to you that what we've talked about for three or four quarters in a row now, which is driving out those best practices to improve margins, is gaining traction. And we're seeing the results that we were hoping to see from that.
Arvind Bhatia – Sterne Agee: The increase wasn't all international, right? The domestic margins weren't any – there wasn't any change in the trend there. Is that fair to say?
Rob Lloyd: I think that's fair to say. But again, I don't want to get into specifics.
Arvind Bhatia – Sterne Agee: Okay. Last question, if I could. The 2% to 4% comp in the fourth quarter, could you help us understand how you break that down domestic versus international?
Rob Lloyd: I think as Mike stated in his remarks, our expectation is for positive same-store sales within our four operating segments.
Arvind Bhatia – Sterne Agee: Okay. Great. Thank you.
Operator: Our next question comes from the line of David Magee from SunTrust Robinson Humphrey.
David Magee – SunTrust Robinson Humphrey: Yeah. Hi, guys. Good morning.
Dan DeMatteo: Good morning.
David Magee – SunTrust Robinson Humphrey: A couple of questions. One is on the PowerUp side. How difficult will it be to get adoption among the non-core gamers out there with that? Is that something that you can do? It seems like getting those customers to be more sticky during the holidays would be a big opportunity.
Paul Raines: Yeah. Absolutely, David. This is Paul. How difficult will it be? Interesting, so, I think we've shared this with some of you on meetings, but we've had an Edge card at GameStop for a long time. Very successful program, but it was focused on only the used business. One of the things that we have been surprised by that we've disclosed previously is 70% of our paid PowerUp Pro members were incremental to the Edge card what. And what that means is, we are bringing in a lot of new people to the paid membership. The way that looks when you are in a store, we're seeing a lot of moms, dads, grandparents, gift buyers, people who would not be our core Edge customer. Would not be people who previously had shopped us in used. Would not be people who previously received our Game Informer magazine. So we are very encouraged by the incremental nature of PowerUp Rewards, both Pro and free and find that it's bringing in a lot of people who weren't aware of GameStop's buy, sell, trade, for example. You know that all the consumer work says, the more awareness we get of buy-sell-trade with the consumer, the more loyal they become because it brings value into the equation, et cetera. So I would say all of those dynamics are pointing in the right direction for holiday for us.
David Magee – SunTrust Robinson Humphrey: Thanks, Paul. And then secondly, with regard to DLC over the next couple years, sort of in a qualitative way. Is it possible to expect that you all could approach the same share there as you have on the retail side for the new product and see similar margins over time with that business?
Dan DeMatteo: Tony, do you want to take that?
Tony Bartel: We definitely do see that as we begin to launch DLC like we are launching major titles, we definitely believe that our share will grow as we have unique content. As we have a pre-order campaign. As we continue to take the friction out of the process and increase discoverability of DLC. We absolutely believe that we will approach and maybe even surpass the share that we have currently on boxed product. In terms of margins as we stated earlier, we do plan that we will have margins that are similar to new game margins on the DLC.
Paul Raines: And trade credits will also begin to flow into that category that have never been there before. So that's another tailwind.
David Magee: Great job. Thanks a lot. And good luck this holiday.
Paul Raines: Thank you.
Operator: We have time for two more questions. Our next question comes from the line of Anthony Chukumba from BB&T Capital Markets.
Anthony Chukumba – BB&T Capital Markets: Good morning. I just had a quick question, just following up on used sales in the quarter. I guess when you reported second quarter sales or second quarter results, you guided to 7% to 9%. You said, look, we're getting back to inventory on used and sales were – I mean, they improved sequentially, but they're only up 4%. So I guess, I was just wondering what was sort of the disconnect between what you guided to and sales only being up 4%?
Dan DeMatteo: Rob?
Rob Lloyd: Anthony, I think what Paul talked about in his comments was that the new game buyer was stronger than we expected in the quarter. So as we talked about last quarter, the strength of the new brings in the trade. And then sets us up for the used. And with all the titles that came out in September and October, we continued to see strength in the new and haven't sort of hit that tipping point yet where the used consumer kicks into the extent that we expected.
Anthony Chukumba - BB&T Capital Markets: Okay. So to some extent, few was a little bit stronger than you thought and that took away from used? Is that a fair assessment?
Rob Lloyd: That's a fair assessment.
Anthony Chukumba - BB&T Capital Markets: Okay. Thank you.
Operator: And our last question comes from the line of Bill Armstrong from CL King & Associates.
Bill Armstrong - CL King & Associates: Good morning, guys. The DLC that you're offering in stores now, are these just for Sony and Microsoft published titles? Or do you have DLC from third parties like EA and Activision?
Dan DeMatteo: Tony, can you answer that?
Tony Bartel: We have – most of our DLC actually comes from third party publishers. Definitely, right now, we have Microsoft rolled out in all of our stores and Sony is being rolled out in all of our stores in the U.S. at this point. But what we have is a wide assortment and where we are now with Microsoft and where we will be soon with Sony is – as new DLC comes out from any publisher, we will be offering that at the same time that it is available for Xbox Live users or PS end users so that we can offer it in our store. That gives us the opportunity to allow for pre-order and allow for pre-marketing of that like we do with major titles. And then deliver it digitally to our PowerUp Rewards members. So it is a full assortment of DLC that is available. We also have invested lots of money in our POS system and in our guides that are in our stores. So that we actually recommend automatically DLC with both new and used games that have DLC available.
Bill Armstrong - CL King & Associates: So it's a full assortment of titles that are for the Sony and Microsoft platforms.
Tony Bartel: That is correct.
Dan DeMatteo: That's correct.
Bill Armstrong - CL King & Associates: How about Nintendo?
Tony Bartel: Nintendo right now at this point is – we are in discussions with Nintendo on this, obviously and I think that we will continue to have those conversations. At this point, we don't have a plan or a roadmap with them in the first half of next year that would put them in our stores. But it's definitely something we continue to talk with them. As they evolve their digital strategy, I think we have a great retail environment that will be ready to accommodate their retail strategy when it becomes more developed.
Bill Armstrong - CL King & Associates: Okay. Moving on to the international sales, obviously, we’re weak. And I assume Europe led the way there. How was Canada and how was Australia and New Zealand relative to the overall international performance?
Dan DeMatteo: Mike, would you want to take that?
Mike Mauler: Sure. Really not prepared to break it out by region at the moment, but as we said, hardware declined more than expected but actually new software and used software grew versus prior year. So it was a good mix change for us.
Bill Armstrong - CL King & Associates: Okay. And when you say in the fourth quarter you expect positive comps. Overall does that mean within all four regions or not necessarily?
Mike Mauler: I wouldn't want to break out the comps by region. But internationally, if you combine the three regions we expect positive comps due to the strong slate of new releases.
Bill Armstrong - CL King & Associates: Got it. And last question on just housekeeping. On the tax rate for Q4, what should we be modeling for that?
Dan DeMatteo: Rob?
Rob Lloyd: Give me just a second to get to that data. You should be modeling something consistent with maybe a little higher than last year for Q4.
Bill Armstrong - CL King & Associates: Okay. Something like 37%, 38%, around there?
Rob Lloyd: That's reasonable, yes.
Bill Armstrong - CL King & Associates: Okay. Thank you.
Dan DeMatteo: Okay. Thank you for attending today's call. Have a great Thanksgiving. Have a great holiday season. And please come and visit GameStop for all your gaming needs and join our new PowerUp Rewards program. We want you in our program. Come to GameStop where you have the best service, the best selection and the greatest value convenient locations, et cetera, et cetera. Thank you very much.
Operator: This concludes today's conference call. Thank you for your participation.